Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2014 CF Industries Holdings Earnings Conference Call. My name is Nova, and I'll be your coordinator for today. [Operator Instructions] I would now like to turn the presentation over to the host for today, Mr. Dan Swenson, Senior Director of Investor Relations and Corporate Communications. Sir, please go ahead.
Dan Swenson: Good morning, and thanks for joining us on this conference call for CF Industries Holdings, Inc. I'm Dan Swenson, and with me are Tony Will, our President and Chief Executive Officer; Dennis Kelleher, our Senior Vice President and Chief Financial Officer; and Bert Frost, our Senior Vice President of Sales, Distribution and Market Development. CF Industries Holdings, Inc. reported its first quarter 2014 results yesterday afternoon as did Terra Nitrogen Company, L.P. On this call, we'll review the CF Industries results in detail and discuss our outlook referring to several of the slides that are posted on our website. At the end of the call, we'll host a question-and-answer session. As you review the news releases posted on the Investor Relations section of our website at cfindustries.com and as you listen to this conference call, please recognize that they contain forward-looking statements as defined by federal securities laws. Actual results may differ materially from those projected as a result of certain risks and uncertainties, including those detailed on Slide 2 of the webcast presentation and from time to time in the company's Securities and Exchange Commission filings. These forward-looking statements are made as of today and the company assumes no obligation to update any forward-looking statements. Now let me introduce Tony Will, our President and CEO.
W. Anthony Will: Thanks, Dan and good morning, everyone. Yesterday we posted our financial results for the first quarter, in which we generated $1.3 billion of EBITDA or $513 million of EBITDA excluding the gain on the sale of our Phosphate business. This is a strong level of performance given the business conditions and unusually volatile natural gas cost environment we faced during the quarter. These strong results were delivered primarily because of 3 factors. First, our experienced and high-performing team who are widely regarded as the best nitrogen operators in the world. Second, our expansive network of production, logistical and distribution assets, which create opportunities that no other nitrogen company can access. And third, our structural cost advantage based on North American natural gas. Coming into the year, we were concerned with the relatively high level of ammonia inventory across the system. However, our team executed extremely well and we shipped 577,000 tons of ammonia, a 73% increase over the same period last year. That accomplishment was also enabled by our expansive network of distribution and storage assets which allowed us to carry over ammonia inventory from last fall and continue to operate our ammonia plant at high rates without undue concern about system inventory levels. As a result, we were able to operate our ammonia plants at a system wide average of 98% of stated capacity and had inventory available in the appropriate market regions to provide customers product when the demand came. This winter was the coldest in North America in 30 years, resulting in record natural gas withdrawals and increased short-term volatility in natural gas prices. Henry Hub prices averaged over $5 per MMBtu during the quarter, with significant basis differentials in several areas that were, at times, well into double-digit dollars per MMBtu, including pricing locations that feed Courtright and Port Neal. However, the hedges put in place by our gas team enabled us to realize an average gas price of just $4.34 per MMBtu during the quarter. These factors, our employees, our extensive asset base and our natural gas cost advantage are an enduring set of competitive advantages that provide us with significant, sustainable cash flows and enabled us to deliver 44% gross margins in our Nitrogen business. During the quarter, we also made progress on a number of initiatives that helped execute our strategy to increase nitrogen capacity per share, which translates directly into increased cash flow-generation capacity per share, while at the same time we lowered the cost of financing the enterprise. We repurchased 3.9 million shares in the first 4 months of 2014. Our repurchases, along with high return investments to expand our current nitrogen capacity, have increased nitrogen tons per share by 144% since the beginning of 2010, which is shown on Slide 6 of the deck. We are further growing our nitrogen production capacity through our expansion projects at Donaldsonville, Louisiana and Port Neal, Iowa. We made good progress on these projects during the quarter, both of which remain on schedule and on budget. I'd refer you to Slide 5 in the deck for a few pictures of progress at the 2 sites. We've begun construction of urea warehouses and ammonia storage tanks at both locations. We are also nearing completion of civil foundation work for all the operating units at both sites. These projects will increase our nitrogen capacity by 25% when they come online in 2015 and '16 and will leverage our existing asset base to grow our cash generation capacity with very favorable return characteristics, even in difficult market conditions. We also made significant progress in the quarter to lower the cost of financing the enterprise. We completed a $1.5 billion investment grade long tenor debt issuance. And we completed the sale of the Phosphate business to Mosaic for an estimated $1.1 billion of after-tax proceeds that we have reallocated back into our high-margin core Nitrogen business. By focusing on operational excellence, investing in high return growth projects and maintaining a low-cost capital structure, we believe we will continue to deliver attractive returns to our shareholders. I'm now going to turn the call over to Bert to provide a deeper discussion of the nitrogen market conditions and our operations during the quarter. Bert?
Bert A. Frost: Thanks, Tony. During the first quarter of 2014, we saw total nitrogen sales volume growth over the first quarter of 2013, thanks to very solid ammonia, ammonium nitrate and other nitrogen sales volume. The increases in sales volumes of these products offset decreases in urea and UAN. As Tony mentioned, our demand planning and logistics teams did a great job anticipating the robust ammonia demand we saw in the Southern Plains and lower Corn Belt regions. The poor application [ph] conditions in the fall of 2013 created some pent-up demand but, more importantly, we had product in position and ready to ship so that we were able to meet demand and realized a very strong 73% year-over-year increase in ammonia volumes. In addition, we also had good industrial volume, including the delivery of our first ammonia shipment to Mosaic following the close of the phosphate sale. Ammonium nitrate shipments, including AN export sales, contributed to a 5% increase in AN sales volume. Other nitrogen products, particularly Diesel Exhaust Fluid, experienced strong volume growth from industrial demand. Our first quarter urea production volumes were lower plus a lower inventory position the first quarter of 2014 compared to 2013 contributed to a decline in the first quarter urea sales volume. We realized good prices relative to market conditions and saw our inventory further declined during the quarter. In the UAN market, customers were hesitant to make purchases in order to avoid inventory risk. Customers communicated that they are mainly purchasing to cover current commitments and will wait to buy until dealers and farmers committed to spring positions. Rather than selling into a weak environment where prices did not reflect the value we saw in our product, we built inventory with the expectation that more attractive sales opportunities would be available in Q2. Except for ammonium nitrate, product pricing declined in the first quarter of 2014 compared to 2013. The cold and wet fall of Q4 2013 contributed to a weak ammonia application season and resulted in a higher-than-average industry inventory carried over into 2014. Prices in Q1 were pressured by high ammonia inventory coming into the year but improved throughout the quarter. Granular urea prices declined year-over-year due to higher global supply, while UAN prices were weighed on by buyer reluctance to take on inventory risk. As we look at the first half of 2014, we expect to see very strong shipments across our nitrogen product portfolio. We forecast at least 92 million acres of corn to be planted and with favorable farm-level economics, nitrogen demand continues to be robust. We've now seen warm weather make its way to the upper Midwest and we are delivering significant volumes of product to our customers. We have been setting ammonia delivery records at several of our terminal locations such as in Blair, Nebraska, where we safely loaded 235 trucks in a 24-hour period compared to the prior record of 177 trucks. This new record was enabled by a modest-sized but high-return investments we made to increase our load-out capabilities at the terminal. Robust ammonia demand is also being seen across our Corn Belt distribution points and is resulting in ammonia inventory quickly being pulled down. We believe this inventory drawdown is industry-wide and our estimates show producer ammonia inventory to be very low. Urea demand has been healthy. And with the lower North American imports received compared to last year, we're seeing a resulting tight inventory position that is supporting spot market pricing. Given the tight inventory position in ammonia and urea, we expect farmers will increasingly seek UAN to fill their nitrogen needs. Additionally, recent wet weather patterns have curtailed pre-plant ammonia application in some areas of the Corn Belt. Farmers are now getting back into their fields and should be focused on getting corn seed into the ground and following up with UAN side-dress applications. Given buyer reluctance to take inventory positions, UAN imports are also down from recent years. This is turning out to be a very spot-focused UAN market, which we expect to drive positive sales volume. Our inventory has been positioned in anticipation of that demand. As we look beyond the spring application season, we expect North American nitrogen prices, as represented at the U.S. Gulf, to decline to global parity. These prices are being impacted by current Chinese urea exports, which are expected to increase during their low export tariff season. This market view is consistent with Chinese new tariff policy and the recent declines in Chinese coal prices. When the Chinese low tariff export season opens in July, we could see urea full prices similar to what we saw last year in the U.S. Gulf. However, we expect the market to balance due production outages at marginal cost producers when prices decline below their cash costs. Producers in areas with higher gas cost such as Eastern Europe, some producers in Ukraine, have already announced production shutdown as prices have dipped below their cash breakeven points or due to civil unrest. In context, it is important to note that with gas prices in the mid-$4 per MMBtu range, U.S.-based nitrogen producers can realize very positive cash margins at these perceived floor levels. This positions CF Industries to generate strong cash flows even during periods of weaker market conditions. Now let me turn the call over to Dennis.
Dennis P. Kelleher: Thanks, Bert. Our financial results for the quarter demonstrate the robust cash generation capacity of our business. During a quarter characterized by very difficult market and natural gas price conditions, we generated $1.3 billion of EBITDA or $513 million excluding the gain from the sale of the Phosphate business. Our Nitrogen business had strong results, generating $434 million of gross margin, which was 44% of the $988 million of segment sales. In addition to addressing and overcoming logistical and nitrogen market challenges, we were also able to mitigate a substantial amount of the volatility seen in the natural gas market as a result of the record cold weather experienced during the first quarter. Late in 2013, we put in place NYMEX hedges for 75% of our natural gas needs for the first quarter at very attractive prices. Even though we experienced some temporary spikes in the basis differentials at a couple of our plants, the hedges reduced our exposure to short-term volatility in the natural gas market. As a result, we had an average realized oil and gas purchase price of $4.34 per MMBtu compared to the Henry Hub average of $5.05 for the quarter. We're also quite pleased with the progress we've made during the quarter on a number of long-term strategic financial objectives. Progress on our capacity expansion programs continued with $278 million in cash capital expenditures during the quarter. We expect spending on the program to ramp up during the remainder of the year as we begin to take delivery of more of the major equipment and as we continue mechanical system construction work throughout the year. Including the amounts paid this quarter, we still project that we will have roughly $2 billion of capital expenditures related to the expansion program during 2014. Together with maintenance and other capital expenditures, we expect total CapEx for the year in the neighborhood of $2.5 billion. During the quarter, we bought back 3.2 million shares, returning $794 million of cash to shareholders through our repurchase program. Through April 30, we purchased an additional 677,000 shares. Cumulatively, the repurchases we have completed since 2011 have had the effect of reducing our share count by over 25% since we completed the Terra acquisition. During the first quarter, we issued an additional $1.5 billion of long-term investment-grade debt. This consists of bonds with 20- and 30-year maturities and coupon rates of 5.15% and 5.375%, respectively. The addition of this tax-efficient, long-duration financing creates a debt funding profile that is nicely laddered over many years and has provided us with very attractive low-cost financing. We also are pleased to complete the sale of the Phosphate business to Mosaic and expect to realize approximately $1.1 billion of after-tax proceeds from the transaction. We have set aside $460 million of these proceeds to reinvest in the expansion projects, some of which will be reinvested in a tax-efficient manner that will increase the net present value of the projects. We are also pleased to have Mosaic as an ammonia customer now and have begun shipments to them from our operations in Trinidad. With that, Tony will provide some closing remarks before we open the call to Q&A.
W. Anthony Will: Thanks, Dennis. The first quarter saw outstanding ammonia shipments. As we move into the second quarter, we are well-positioned to provide the products our customers need. Our team continues to focus on operational excellence and executing our business plan every day. And this is why we are able to generate significant cash flows even during difficult market conditions. I would personally like to recognize our natural gas procurement team for their work to minimize our exposure to short-term volatility in natural gas prices, which helped us to generate great results for our shareholders this quarter. I would also like to highlight our tax team, who were able to structure the Phosphate sale, and subsequent reinvestment, back into the capacity expansion projects in such an efficient way as to increase the NPV of these projects significantly. With that, we will now open the line to your questions. Nova?
Operator: [Operator Instructions] Our first question comes from Don Carson of Susquehanna Financial.
Donald Carson - Susquehanna Financial Group, LLLP, Research Division: Yes, Tony, 2 questions, 1 operational, 1 financial. On the operational side, I noted that you said your ammonia units ran at about 98% operating rate in the first quarter. Just wondering if you can compare your operating rates versus the industry and how much additional volume you think that gets you. And then in the financial side, I didn't hear any comments on the status of your MLP review.
W. Anthony Will: Thanks, Don. I'll tell you what the operation side and then I'll turn it over to Dennis on the MLP side. On the operation side, understand that if you just lose 1 day per month of operating because of maintenance outage or something like that unexpected, it drops your operating rate down to about 97% of capacity. So the fact that we were able to run the system at 98% is pretty darn good, particularly given the high level of ammonia inventory we had coming into the system. I don't really have good data on what other people were doing in terms of the operations during the quarter. But I think the 1 thing that I would highlight is, because of the network that we have and our ability to move ammonia into storage when we need to, it doesn't put a constraint on our ability to run our plants full out all the time. Dennis, you want to handle the MLPs?
Dennis P. Kelleher: Sure. Don, as we said before, we've engaged 2 bulge bracket banks to look at this, the MLP question, for us in a comprehensive way. The last time we talked about this, what we said was, as we look across our system and we look at the older assets, the stuff that's not under construction but low tax bases, we believe it doesn't make a lot of sense to be selling those into MLPs because the tax hit associated with that would make that quite unattractive. And then obviously, we're continuing to look at the newer assets as well. The newer assets will not complete until sometime in 2015 and 2016. So at that point in time, you have to look at the tax code and what that provides for, whether that makes sense or not. But we will have something more definitive to say about the conclusions around the study at some point later this year. I don't have anything to add to that specifically today.
Operator: Our next question comes from the line of Chris Parkinson of Crédit Suisse.
Christopher S. Parkinson - Crédit Suisse AG, Research Division: Given the magnitude of the buyback in the first quarter and current balance sheet metrics, can you give a little more color on your thoughts on the program, particularly as it appears there are some ample industry headwinds on the horizon?
W. Anthony Will: Sure. Thanks for the question. I'd say a lot of this question has to do with your view of appropriate time frame. And as we look at the business, it's not the next 3 or 6 or even 12 months that we're that obsessively focused about. It's the long term. And as we get out 12 to 18 months, we're going to have the capacity expansion upgrade parts of Donaldsonville online. As we get out 18 to 24 months, we'll have all of the capacity online. So that's going to increase our nitrogen production by 25% and have an appropriate corresponding impact on our cash flow generation. And as we sort of sit back and look at the value that we're trading at today, given the context of that capacity coming online in, we are very comfortable with the pace and the rate at which we're buying shares back and we think viewed in the longer-term time horizon, our shareholders that are with us will stand up and roundly applaud the decisions that we're taking today. So while we would like to buy at bottom tick, we're not going to sit on our hands and try to project when that is. We feel very comfortable with the prices that we're sweeping those shares in at.
Christopher S. Parkinson - Crédit Suisse AG, Research Division: And just a very quick follow-up. In your release, you mentioned UAN volumes decreased due to some buyer deferrals and pricing may have been a little bit pressured by increases in domestic supply. Can you talk about what you've seen over, let's say, the last 4, 6 weeks as planting has really ramped up and any preliminary expectations going forward over the summer?
Bert A. Frost: This is Bert. So for UAN, as we mentioned, we saw a difference between how we valued our products and what we thought would happen as spring unfolded to what the market was -- how the market was pricing UAN overall. Yes, there has been increased domestic production but of course bonding decrease in imports, as well as an increase in exports. So the system, we believe, coming into this period, second quarter, was fairly balanced to tight. And we believe that because of the late, moist and cool weather that we received in April, which really slowed down ammonia applications, that's going to push farmers to probably purchase more UAN than we had anticipated. And so, we positioned our product for that, utilizing our distribution assets, as well as customers have been stepping in and buying every day. And we believe that, that will continue through Q2. After that point, there's always a rebalance in this market where there's an inventory build that lasts several months, and we will enter that market at the appropriate time.
Operator: The next question comes from the line of Vincent Andrews of Morgan Stanley.
Vincent Andrews - Morgan Stanley, Research Division: Two questions, one a near-term question and then a longer-term one. On the near-term, could you talk a little bit about why you think Chinese coal prices went down? And then who are the other people you expect or other regions that you think will wind up shutting in some capacity over the summer? And then on a longer-term basis, Tony, I don't want to put words in your mouth, but if I think about the next couple of years, in my mind, it looks like this. You finish off the $580 million of the repurchase that's left. In the second half of this year, you'll have some insight into where your CapEx budget is and probably feel -- hopefully feel that you're not going to have material overruns that might allow you to feel comfortable allocating that $1 billion of phosphate proceeds towards either a repurchase or to something else. And then as we move into '15 and '16, we look forward to the decision of whether to leverage those new facilities up, which I think are about $700 million of EBITDA, or to put them into an MLP. And then you'll also be considering if we think back to before when -- before the announcement of the new facilities, there was, I think, almost $2 billion of brownfield projects that could have been. So I guess what I'm saying is, is your line of sight on sort of continued buybacks and volume growth beyond just the sort of '15, '16 period that we're all contemplating today?
W. Anthony Will: Vincent, thanks. I'm going to ask Bert to start off with the Chinese coal and the other regions of the world that we may see shutdowns in, which we just have some news on today in fact. Let's, go ahead, Bert.
Bert A. Frost: Regarding Chinese coal prices, they are already very low. You see a lot of integration plays taking place by the coal producers moving into urea production as of just an integration for that raw material stream. But when you factor in -- if the marginal ton, the import ton, whether from Indonesia or other coal-supplying regions of the world into China, the prices where they're at today are, if they're cash positive it would be questionable. Then you have to look at the cost curve for gas, anthracite, different types of coal, locations, freight. And I believe where they are today and where they're projected to go in June or in July at the opening of the low tariff season will be very similar to last year, could go a little bit lower. But at that point, I don't know if they can sustain that production rate and investment needed to stay active in the business. Relative to the next question on who we expect not to operate. As Tony mentioned today, we received information from KEYTRADE late -- I guess late in their day, early in our day, on the shutdowns from the DF Group in Ukraine due to civil unrest, as well as OPZ is not operating. So I expect that to take 150,000 to 200,000 tons of urea off the market, but there are other places that are not. The Egyptians are on per month, right? Per month, yes. There are other areas that are not operating due to gas shortages being -- the typical ones which we mentioned, Pakistan, Bangladesh and then gas reductions to plants, which would be Egypt. You've got some plants coming up from turnaround. But overall, I think that, even some low gas cost regions are moderate and will not have gas to produce, and then we'll see some of the European, Eastern European, Romanians, Bulgarians, probably have difficulty going forward into Q3.
W. Anthony Will: And Vincent, on your second question about sort of the longer wavelength stuff, I'm going to kind of tag team this one a little bit with Dennis. I'll just start off. You're absolutely right. The brunt of $2 billion of spend on the capacity expansion projects this year is going to happen during Q2, Q3 and into Q4. That's one we're going to be mobilizing the legions of contractors on sites to start the mechanical erection above ground and take delivery from a lot of the larger vessels. And so, as we get into the back end of this year, we'll be through the brunt of the spend on those projects and have much better line of sight in terms of how things are trending and when we expect the projects to come online and what the total cost is. So at that point, we'll be in a much better position to sort of gauge our ongoing position in terms of sources and uses. And then I'll ask Dennis to go ahead and just take it from here.
Dennis P. Kelleher: Yes. Vince, I think the way to look at is if you go back to what we said in New York, back in December, and what we've been saying since we sort of outlined what our -- this really goes to what your question is, and that's really longer-term capital allocation. We sort of outlined our capacity allocation priorities at that point in time. As Tony said, we want to finish the projects, we want to complete the share repurchase program. We've got some ongoing CapEx and dividends as well. And during that period of time, we expect that the business will continue to generate some significant operating cash flow. We've had the sources of liquidity that we talked about, the $1.5 billion bond issued, $1.4 billion net of tax, $1.1 billion sale of phosphate. All of the things we talked about, those things are playing out as we expected. And so, beyond that sits what we believe could be some substantially free cash flow. And we'll have to make a determination at that time. But the framework for thinking about what we do, whether it's capital returns or investments in projects really, if we have projects in our core business that we can invest in that are well above the cost of capital and those are attractive, we'll invest money in those things. If not, then the money obviously is there for the return to shareholders. So none of that has changed. With respect to your question around financing, the additional capacity when it comes online, we said that we want to be at a debt to EBITDA level around 2, 2.5x. We believe today that we're at the -- comfortably at the lower end of that range. We're mindful of the fact that, as you point out, we'll be bringing on significant amounts more EBITDA with the new projects and we'll make a determination at that time. But our view is to stay solid investment-grade. We believe that means 2 to 2.5x EBITDA. And if there is significant borrowing capacity that could be accessed at that time, at attractive rates and such, then we would certainly look to do that.
Operator: The next question comes from Adam Samuelson of Goldman Sachs.
Adam Samuelson - Goldman Sachs Group Inc., Research Division: Maybe a question for Bert and reflect on the outlook and the market view today relative to the beginning of the year, clearly some really strong performance in ammonia in the quarter and getting the inventory situation cleared out, and that was a big concern going into the year, maybe balance that by prospects of some more Chinese urea exports. Maybe can you talk about how your view of the year, at least the first half, if not the year, looks today versus it did a few months ago?
Bert A. Frost: Thanks. Good morning. It is different. Coming into the year, we did have a high inventory level of ammonia as well as the rest of the industry and we were concerned because Q4 did not operate as well as we had hoped and I suspect the industry probably less several hundred if not 400,000 tons of ammonia unapplied. So that was in tanks or at plants and we worked since December, you saw us export a few cargoes and then worked to mitigate that risk by moving product to our distribution facilities, selling product in NOLA to some of the importers, moving product spot up through some of the tanks on the River, as well as our industrial business. So a multipronged attack, I guess, on ammonia, which served us well through the quarter and allowed us, I think, to enter into Q2 favorably positioned but still positioned to get the positive momentum from the I states. So in Q1, that was mostly in Nebraska, Kansas, Missouri, Oklahoma movement to the ground for wheat as well as corn pre-plant. And then now you're seeing that movement, you're seeing in Q2, a greater drawdown, I think, through the pipeline into the river terminals for corn. Still to go is the Northern tier, which is Canada, North Dakota and Minnesota. So we're watching that. Hopefully, that's going to dry out soon. So that's how we progressed through January. January saw an increase as we went through the months on urea, probably started around 330, peaked around 430 and we're settling back now. I think we're a little surprised at how positive urea movement was through Q1 and into Q2, and that is a reflection, I think, of probably fewer imports and then early pull on urea. And then UAN has been fairly stable through the quarter, it probably started in the lows of $250 and approached almost $300 NOLA. And so, we do think, as I said in our prepared remarks, that UAN will be the positive player in Q2. We should see an overall drawdown of all products. So I think coming from where we were in January to where we think we could end up for the first half, it's a pretty good position for CF as well as the industry. Chinese exports were probably the surprise. I don't think anybody anticipated that you see 2 million tons of exports out of there in January and February. You had an India tender, but that product seemed to go everywhere. And I think you would probably err on the high side of expectation of exports out of China through 2014 and we're preparing for that eventuality. Other than that, I would say we're very positive. I think even with the -- if you were to list the difficulties that we can look back on, logistical constraints, excess product available in the world market, cool, wet temperatures in the United States, and the view where we are today is a pretty remarkable position. And I do credit the team, the guys had planned well and executed well, and I think we're well-positioned to enter the back half of the year. I think prices will go down a little bit, probably -- last year we reached a low of $275, we could dip below that, but I don't think we can sustain that for very long. And you're going to see people falling off. So I don't want to be too optimistic, but I am optimistic the back half.
Adam Samuelson - Goldman Sachs Group Inc., Research Division: That's very helpful. And just a quick follow-up, in urea in the quarter, your utilization was around 80%, it's a little bit lower than you've seen the last couple of years. Anything notable on the plant side that your utilization was down?
Bert A. Frost: I'd say we did have some downtime in Donaldsonville, during the quarter. We did favor UAN over urea during the quarter. And so, you don't see us make those moves, but we do throttle up and throttle down as we see -- deem necessary or market-driven. And as I said in my comments, we drew our inventory lower through the quarter and so that's where we are.
W. Anthony Will: Adam, I'd also say, that's one of the benefits that our network has, which is, if we do have a urea plant take some unexpected downtime, we're able to reallocate and move that product, barge and pipe into the -- through our terminal system, and that helps us drive our ammonia business. We had conducive weather for it. So we've got a lot of levers to be able to pull kind of regardless of what happens out there and I think this is just another example of just how we can utilize our broad asset base to take advantage of what otherwise might have been challenging for other participants.
Operator: Our next question comes from the line of Kevin McCarthy of Bank of America.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: A question for you on natural gas. In your press release, you observed that the long-term curve is below $5 through 2020 and you may have also seen 1 of your peer companies in nitrogen elected to layer in some hedges or disclose that they did so yesterday for 2016 through 2018. I guess my question would be, if you can provide us with an update on your philosophy, I think you would need to board approval to go out that far. I don't know if there's any inclination or desire to do so. So perhaps you could kind of update us on your approach there given the shape of the curve?
Bert A. Frost: Yes, Kevin. Thanks for that. As we looked out the curve this morning again what we saw, was despite all of the volatility that we had, the low storage level we have going into the spring, coming out of the winter, what we see is a curve that doesn't reach $5 until you're sometime out in 2020. And so, to us, that underpins our belief that the long-term trading range for natural gas in the United States is going to be sort of supply economics-driven and it's going to be between $3 and $5. So that is unchanged. With respect to our philosophy on hedging, we've done different types of things in the past. But generally, what we're trying to do with our hedging program is to dampen the risk that is associated with near-term volatility in the markets. You can see that we did that to quite good effect in Q1 and we've also got significant amount of hedges as we that we set on for Q2. I can't comment on specifically which competitor you're talking about. But as we sort of -- as we think about things longer-term, would we consider doing something long-term? Sure, it's possible. But typically, what we run into when we talk about long-term deals is, suppliers want to supply above the curve and buyers want to buy below the curve, and so it doesn't make a lot of sense. Our sense is that this is the deepest, most liquid natural gas market in the world. There is not a security of supply issue to be managed here. And we really do focus on really dampening out the near-term volatility. But as I said -- that having been said, we have the ability, with the approval of our board, to do all sorts of other things too if those things made sense. 1 thing I would point out that we have done, or 2 things, is we've got 2 contracts, one with Orica, which we signed this year for ammonium nitrogen, and also the Mosaic deal on ammonia, where we've got margins locked in above gas prices. So we've done some things on the output side to kind of deal with some of that as well. But we remain open but we also remain very committed to our long-term outlook on gas resources development and then the $3 to $5 price range.
Operator: Our next question comes from the line of Tim Tiberio of Miller Tabak.
Tim J. Tiberio - Miller Tabak + Co., LLC, Research Division: I just wanted to get a sense of how we should think about the potential sales impact from the Woodward outage? Is this a situation where you can catch up based on your current inventory in Q2? Or is this a situation where we may be facing some lost sales because of the 6- to 8-week turnaround in May versus June?
W. Anthony Will: Thanks, Tim. Appreciate the question. Obviously, if you're ever down longer than you're planning to be down for a turnaround, you're going to lose some production. But there's a lot of levers that we have to be able to pull in order to make sure that we don't disappoint customers on commitments that we've made. And Bert and his team have done a great job of moving some things around in order to do that. And one of the other levers that we have that we don't spend a lot of time talking about is our ability to shift some turnarounds if we need to. And so, we have decided to push one of the scheduled turnarounds that was previously scheduled for Q4 of this year out into next year and take it in Q1 next year, and that basically leaves us an ability to deliver from a total production standpoint volumes that we were anticipating in our plan at the beginning of the year. And so, the benefit of the network that we have and the scale that we have is we can deal with some of these unplanned outages in a way that other people frankly just can't manage. And as you said, a big chunk of the outage time is being consumed with turnaround activities anyway, which was just going to happen later in the year. So we're trying to minimize the overall impact and we think by the back end of the year, no one will notice that it happened at all.
Tim J. Tiberio - Miller Tabak + Co., LLC, Research Division: Great. And 1 last question around, I guess, the labor procurement at your expansion sites. I think there was a media report where the site manager indicated that you've secured 20% of the 2,000 contract workers that you'll need eventually at Port Neal. Can you give us a sense whether that, within your range of estimates at this point and the development of the site? And maybe just give us an update overall across the sites how you're feeling about labor availability? I know you cited that as one of the major challenges as you head out over the next 2 to 3 years in managing that budget.
W. Anthony Will: You bet, Tim. On the labor side for the projects, we're -- we feel very comfortable about where we're at overall. We're in the process of marshaling up to almost kind of 2,500 contract workers at D'Ville. And we're moving up there and we'll soon be at that sort of run rate here within the next month or 2. And we do have good availability of skilled workers for Port Neal as well. And what we're seeing right now in terms of the wage rates that are required to bring those people in, it's very consistent and in line with our original estimates in terms of overall project costs. And there's always puts and calls on these big projects in terms of how they're running. But everything we've locked down in terms of fixed costs were completed much of the way of civil construction and so forth continue to give us full confidence that we're both on schedule and on-budget within plus or minus 10% of the authorized $3.8 billion. So we feel very good about where we're at. A couple of the really large projects that were expected to launch in the Gulf region on the petrochemical side have been delayed. And so that has not sucked up a lot of the skilled contractor base. So again, we feel very comfortable about where we're at right now.
Operator: Our next question comes from the line of Mark Gulley of BGC Financial.
Mark R. Gulley - BGC Partners, Inc., Research Division: Two questions. You've talked about capital allocation several times during the call. First question is, can you update us at all on your thoughts on downstream expansions at Medicine Hat, particularly given the low natural gas cost up there and also given the fact that one of your competitors secured a very cheap natural gas cost lease from a Canadian natural gas producer? And then secondly, you also talked about basis differentials on natural gas. You also have that at product prices. Is there anything you can do to get your pipeline partner to expand capacity so you can move ammonia cheaper, more of the cheaper upper -- to the upper Midwest?
W. Anthony Will: Thanks, Mark. I'll handle the capital allocation and I'll ask Dennis to talk a little bit about the basis differential and what we're doing to kind of manage and mitigate that going forward. On the capital allocation relative to Medicine Hat, as you noted, there's a very positive spread in the upper Northwest and into western Canada on realized urea prices versus historically ammonia prices. And that's what's making us interested in looking at that kind of project. The challenge in Alberta is -- and a lot of the energy companies in the tar sands and others that have gone after those kind of projects have looked at, which is wage rate and escalation. And so we are being very cautious and very thoughtful about going into this, and it's only if we can lock in some pretty good contracts and some security around what the total cost of construction is that we would be willing to go down that road. So we're in the throes of the discussion. We've got some good help with our technology partners and construction companies and others looking at it. We're going at it full-bore. But we're only going to do it if we can guarantee returns of well above our cost of cap. On the basis differential side, I'll ask Dennis to go ahead and talk about that.
Dennis P. Kelleher: Okay. Thanks. I'll talk about gas basis differentials, Mark, and I'll hand over to Bert to talk about what -- your question with respect to the ammonia pipeline and capacity there. During the quarter, as we pointed out in the press release and in our prepared remarks, we talked about being exposed to some very significant basis swings, particularly at 2 places: One was at Dawn, which is our Courtright facility in Canada; and the other one was at Port Neal, Iowa. And I think we need to put that into context. If you look at Port Neal, Iowa, for instance, the average basis dip for the quarter was about $3.84. There were days, as Tony pointed out, where those differentials widened out to $20 plus, but it would only be for a day or so. Now that occurred after the -- the normal basis differential at Port Neal is around $0.13 per MMBtu, and that's generally very, very stable over time and simply reflects transportation. So obviously, this winter was quite anomalous, we wouldn't expect that to happen on an ongoing basis. So that's what happened in the quarter. With respect to going forward, we've got 50% of our Dawn basis differential hedged for the next 12 months. And we'll look at basis exposure from time to time and we may put hedges in to sort of dampen out that volatility exposure. But this is the sort of things that we, as a gas committee, discuss on a monthly basis and we'll take actions when it makes sense to do so. I'll hand it over to Bert on the ammonia pipeline issue.
Bert A. Frost: So on the pipeline, we use both pipeline systems, primarily the NuStar system, which is the Gulf -- old Gulf States, which goes up into the corn states and the Magellan, which we load out of Verdigris. And so it's more a part of the components that we build for the whole, which are for ammonia. We use the pipelines and the next step up of cost component would be barge movement and then vessel, and then rail and truck. And so we use each of those modes to move the product. I think we're the largest consumer or capacity utilizer on the NuStar up to our terminal locations throughout the Midwest. I'm not sure if they need more capacity. We use all the capacity that we can. When you have 2 application seasons, fall and spring, it's really just a build and then where you could use capacity, or extra capacity, is in November and April for the recharge. So what we've done is invested in Palmyra, which is a receiving point. We're able to load barges out of there and quickly move products on a shuttle service to various terminals in a cost-effective way, as well as just utilizing our terminals that we've invested a significant amount of money over the last several years in order to unload or discharge the terminals and load them and bring product in as fast as possible. So we may shut several terminals off to a certain point to reload a few key terminals at that same moment. So I think it's more how we're maximizing the value of the pipeline is the efficient use of the complete system in the lowest cost manner.
W. Anthony Will: Mark, 1 other thing I'd like to add is that, we're running all of our ammonia plants sort of full out every single day, so we can't really mitigate basis differential changes with ammonia movements because we want to be able to run our end-market plants just as hard we do the ones on the Gulf. So I think it kind of goes back to what Dennis was saying, which is even though we've never really seen this happen before, what we'll likely do to take that volatility out of the equation is to hedge the basis differentials going forward, as well as the underlying gas requirement at Henry Hub and manage it that way instead.
Operator: Our next question comes from the line of Matthew Korn of Barclays.
Matthew J. Korn - Barclays Capital, Research Division: You briefly mentioned DEF early in your remarks. Could you sketch out that current market for me, what you're shipping today, what's your current ceiling for volumes would be and how gross margins for that product measure up to the mid-product average for the whole complex today in the mid-40s?
W. Anthony Will: Sure. Matthew, good morning. I'll ask Bert to handle that one.
Bert A. Frost: So DEF is a quickly growing market. I think year-on-year, you're seeing growth of 20% to 35%. Just as the new class 8 trucks come in and are integrated into the trucking fleets, there's this sort of direct and dramatic growth, I think, as you see those incorporated. And the next move will be off-road, and then Marine. And then as you get to different-size engines, we project a very positive growth trajectory for DEF. And I think if you look at Integer or any of the other folks in the market, they would project that at a 1.5 million-ton urea equivalent market by 2020. But it could be higher as dosing rates go up due to efficiency standards and things like that. So we're looking -- when you look at the -- that's the market. When you look at volumes, we're consistently participating in a market share of -- actually I hesitate to give that. So we're a healthy participant in that market. And the premiums for the product over granular urea for urea liquor or DEF range in the $50 to $100 per ton.
Matthew J. Korn - Barclays Capital, Research Division: Alright. Any other promising opportunities you're currently exploring for industrial sales, indexed or gas linked sales? I guess, how active are you in wanting to layer in that kind of lower volatility, perhaps maybe lower margin type of shipment.
Bert A. Frost: The second part of your question is the key component. It depends on the margin. We're not going to pursue it just to get volume. We're not going to pursue just to sign a contract. There has to be something that's attractive for the plant that's supplying the product, for the market that it's in. And if you look at the 2 contracts that we signed, Mosaic was a win-win for both companies. Mosaic was able to acquire the assets that integrate into their system. We're able to supply a great customer a new ammonia contract that fit their needs. For Orica, same principle, a very nice asset base located that's logistically advantaged for them and for us to sign that contract with a healthy margin for the plant and allow that to have a long-term viability was very attractive. If other opportunities came up where we were able to link up with companies that probably have a similar view culture and integration point which, let's say, work well with us and that type of offer is attractive, we would look at that. But again, it's something as we look at the whole component on the margin capability for the business.
W. Anthony Will: And I think the key there -- I would echo what Bert said. The key there is we really only want to partner with a few select, really, leaders in the particular spaces to do this. It's not a broad-based "we'll take all comers." Mosaic is the clear leader in phosphate. We think they're a great customer to have and we're excited about being able to supply them. And we are able to lock in honestly and kind of derisk the return profile of those new -- the new capacity expansion projects and get a mid-teens sort of return on the capital going into that plant. So that made a ton of sense for us, and our contract coming out of Yazoo City was going to expire at the end of '16 with Orica and they're the leader in ammonium nitrate here in North America and again it made sense for us to work with them to secure a home for that production. So we feel very good about those but, to echo what Bert said, it's really aligning around the right customer and finding economics that work for both parties.
Operator: Our next question comes from the line of Joel Jackson of BMO Capital Markets.
Joel Jackson - BMO Capital Markets Canada: I was wondering if you could talk about some of the net backs you might expect for Medicine Hat. Just because with the Viterra stores now owning one of your nitrogen competitors, that may change the dynamic of where you're selling your product in the North?
Bert A. Frost: Regarding net backs or customers or competitors, we look at it holistically. And so, where [indiscernible] are we on, what markets are available to us. We work with all the majors, the major retailers, wholesalers and traders and determine then what product goes to what locations. Obviously, the first I guess step is logistically integrated or logistically advantaged, and that's what we would look at first. So the Canadian market, the Northern tier, is where that product probably will go and is going today. And so, it's -- I don't know if that answered your question, but that's what we're looking at. And I would say North Dakota is probably, for the expansion project, the key market, Montana, that northern region where we have a good market share today.
Joel Jackson - BMO Capital Markets Canada: And just finally, it's been touched on a couple of times this morning, but do you see more volatility in AECO gas than American gas going forward?
Bert A. Frost: No, I wouldn't think so. Effectively, it's all going to be -- it's all North American gas. Yes, there's a differential in AECO to Henry Hub and that may persist as production comes on in east of the United States and pushes MMBtus back into Canada. But I don't have a view that it's going to necessarily going to be any more volatile or less volatile than the underlying Henry Hub market.
W. Anthony Will: But long term, we do see AECO gas as continuing to be, even though North American gas in aggregate is very attractive compared to the rest of the world, AECO within North America tends to be a real relatively low-cost gas environment. Typically, it's got a basis differential of about $0.50 to $0.70 below Henry Hub. And so that's another reason why that asset at Medicine Hat is so attractive, because the cost structure of that one really, compared to even the rest of our asset base, is very, very attractive.
Operator: And I'm not showing any further questions in the queue at this time. I'd like to turn the call back to Tony Will for closing remarks.
W. Anthony Will: Thanks. We're excited about the prospects for CF Industries. We have an experienced and high-performing team executing our plans, the most expansive network of nitrogen production and logistical assets in North America and a structural cost advantage from North American natural gas. With these competitive advantages, we believe in the sustainable cash generation of this business. We also believe in a balanced view of capital deployment, investing in high return projects that leverage our core capabilities, otherwise returning excess cash to stockholders while maintaining an efficient balance sheet. To that end, we made terrific progress on all our strategic initiatives, on our capacity expansion projects, the sale of Phosphate, share repurchases and our investment-grade debt issuance. We are executing a set of strategic initiatives that will significantly grow our nitrogen and cash-generation capacity per share of stock and we believe this focus will enable us to continue delivering terrific results to our shareholders. Thank you, all, for your time today.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, and you may all disconnect. Everyone, have a wonderful day.